Jim Beyer - MD & CEO:
Michael Holmes - COO:
Anthony Rechichi - CFO:
Operator: Thank you for standing by and welcome to the Regis Resources Limited Quarterly Briefing. All participants are in listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Jim Beyer, MD and CEO. Please go ahead.
Jim Beyer: Thanks, Kayleigh. Good morning everyone and thanks for joining us for the Regis Resources March quarter FY’25 results. Joining me today is our CFO, Anthony Rechichi, our COO Michael Holmes and our Head of Investor Relations Jeff Sansom. As usual, we will refer to some figures and diagrams from the quarterly report released earlier this morning, so please keep that handy as we step through the results. First off, as always, let's start with safety. I am pleased to report that our 12-month moving average lost time injury frequency rate remains low at just below 0.4 million man-hours per incident. That is well below the WA industry average of 2.2, although that was from a couple of years ago now given the lag in reporting. But it is still a very strong result for our team and it reflects the ongoing commitment to continuous improvement and making sure that everyone goes home safely. Now on to performance, we have delivered another solid operational quarter in line with our plans and continued to build our financial strength. Production for the quarter was 89,700 ounces of gold for an all-in sustaining cost of $2,538 per ounce. That result, coupled with the ongoing strength in the gold price, translated into strong margins and another big step forward for our balance sheet. We generated $220 million of operating cash flow and grew our cash and bullion by $138 million. Now that's before repaying the $300 million term loan ahead of schedule. As a result, Regis is debt free and that is a milestone well worth celebrating. It's been a long time. And with a new $300 million revolving credit facility in place and undrawn, we've got the financial flexibility to continue executing on our great strategy, both organic and potentially inorganic, and to consider returns to the shareholders. Now with that, I'll hand over to Michael who will give a bit more of a rundown on the operational side of the business. Thanks, Michael.
Michael Holmes: Thanks, Jim, and good morning, everyone. From an operational standpoint, the March quarter continued our trend of consistent delivery. At Duketon, production came in at 58,100 ounces at an all-in sustaining cost of $2,753 per ounce, which is broadly in line with the previous quarter. Open pit operations across Garden Well, Ben Hur, Russell Find and Toohey's well delivered 24,400 ounces, and the undergrounds at Garden Well and Rosemont delivered 25,300 ounces. Duketon Mills processed 1.9 million tonnes at 1.1 gram per tonne with metallurgical recovery at 90%. And this includes continued processing at the Moolart Well low grade stockpiles, which is a good demonstration of our flexibility in the long-term optionality in the system. Development continues to progress at our underground growth projects, Garden Well Main and Rosemont Stage 3. We invested $34 million in growth capital at Duketon, focusing on Garden Well, Main and Rosemont Stage 3, and both remain generally on track for the first ore in quarter one FY’26. Over at Tropicana, we produced 31,600 ounces at an all-in sustaining cost of $2,046 per ounce. As expected, a step down from the December quarter due to planned mine schedule. Open pits delivered 14,200 ounces and underground 13,100 ounces, with underground grades holding up well at over 3 grams per tonne. Mill performance was solid at 655,000 tonnes processed at 1.65 grams per tonne and 91% recovery. Importantly, growth capital at Tropicana remains disciplined with $2 million spent this quarter, roughly split evenly between Havana Underground, which remains on schedule, and exploration. Operationally, we're on track to meet the FY production guidance at both sites. Duketon remains within our 220,000 to 240,000 ounces production guidance range and Tropicana is on track for 130,000 to 140,000 ounces. With that, I'll hand over to Anthony to take you through the financials.
Anthony Rechichi : Thanks Michael and good morning everyone. The excellent operating performance and robust gold price environment combine to deliver another terrific financial outcome for the quarter. We sold 81,000 ounces at an average realized price of $4,591 an ounce, generating $372 million in revenue. That translated to $221 million in operating cash flow, with $132 million coming from Duketon and $89 million coming from Tropicana. Capital expenditure totaled $72 million. At Duketon, that included $45 million in development and growth projects, $10 million in exploration and $4 million in plant and equipment. At Tropicana, development and pre-production expenditure for the underground mines accounted for $8 million, with another $5 million spent across plants and equipment and exploration. McPhillamys' costs were $2 million for the quarter and as we've noted previously, these are now expressed through the profit and loss account following the Section 10 outcome in August last year. Now to the balance sheet. We ended the quarter with $367 million in cash and bullion, up $138 million before taking into account the repayment of the $300 million term loan back in January. We're now debt free and we've put in place a $300 million revolving credit facility, undrawn at this stage, giving us both strength and flexibility as we look ahead. Finally, before I hand back to Jim, during the quarter we commenced commercial production from the Tropicana Renewable Energy Project. From a financial reporting perspective, the lease associated with the renewable energy infrastructure is now recognized on our balance sheet, reflecting our long-term commitment to the project and its contribution to Tropicana's operational sustainability. Thank you all and back to you Jim.
Jim Beyer: Thanks Anthony, good set of numbers there mate. Following on from Anthony's last comment, the commencement of commercial production from the Renewable Energy Project is a fantastic milestone for the business. This 61 megawatt renewable energy project is the largest hybrid power system in the Australian mining sector and it's a major step forward in reducing our emissions and enhancing our sustainability at one of our core operations. The project includes a 24 megawatt solar farm, four 6 megawatt wind turbines and a 13 megawatt battery storage system and we're proud to be delivering cleaner, more efficient energy to support our safeguard mechanism targets, while also critically, and this is important, it is reducing our power costs for our long-term operation. Now on McPhillamys East, pardon me. As we've noted before, we have commenced proceedings for a judicial review challenging the Minister's decision seeking a declaration that the decision is invalid. As an update, we can now say that the date for this hearing has been set for the 10th to the 12th of December this year. While the lengthy time waiting for this review is frustrating to say the least, it is pleasing to see that progress is being made on this judicial review front. In the meantime, the team is exploring alternatives for tailings storage and this includes what's called an IWL, an Integrated Waste Landform, that's where we co-dispose the material, co-store the material utilizing the current waste rock dump footprint. We're also looking at more conventional storage methods as in the existing technology that we're using for the tailings dam in other locations within the area. And this is all great but despite some of the comments from certain areas, these options don't materialize overnight and they are and they will take time. One comment that I would make at this point though is we are pleased to be getting a lot of support from the New South Wales Government in terms of trying to find a way to ensure that this work is done as quickly as possible while still maintaining the high standards that we've always held in place for this project. Now if you ask me why we're doing this, I just remind you that this project is nearly a 2 million ounce reserve, or was a reserve I should say, it's not anymore until we get this cleared. But there's 2 million ounces sitting in the ground there which in production would be producing at an average rate of 187,000 ounces per annum and it does max out at 235,000 ounces in a couple of years. And it has an average all-in sustaining cost of $1,600. Now that's from the DFS. McPhillamys The first year alone the all-in sustaining cost was sitting around about $2,000 an ounce. You could add a bit on for inflation. Do the maths, you can see that even if you do add a bit of inflation onto that first year this baby generates some very strong cash flows in the current price environment. It would be a great project to have in our portfolio and hence it is worth the effort of continuing to drive this process down this path, or these paths that we are. And of course this is just the beginning of the deposit and the potential in the ground in that Cadia Valley area where our deposit is just near Blaney and not only about 15-20 km away from the Cadia mine. Now looking more generally at our resource growth, we released the update on the Tropicana reserves and resources in February. Our reserves are dropped now, and this is at 100%, stand at 1.9 million ounces with a 178,000 ounce increase in the underground reserves, largely offsetting underground depletion. And this is a testament to the strength of the ore body and the ongoing success of our drilling programs in that underground area. Now while the underground reserves were slightly down year on year, as I've said before, some fluctuations are expected over the short term timeframes, but the long term trend remains consistent and robust. I take the opportunity to point out back in 2023, so a year ago, the replacement of the underground depletion was 260% in just a 12 month period. So it comes as no surprise that we see volatility year on year. But the critical trend in the growth of the underground reserves remains. Where at the end of 2018 we had 317,000 ounces of reserves, today we have nearly, well we have more than doubled that at 640,000 ounces of reserves, and in the period since, in that six years or so, we've produced from underground 650,000 ounces of gold. Building on this success, Boston Shaker Underground, along with the broader underground corridor, continues to yield excellent results. There is no other way to describe the underground at Tropicana but as spectacular. And on the open pit front at Trop, targets continue to be advanced in the northern corridor, adding longer term pipeline opportunities. Back at Duketon, things aren't going too bad either. Drilling across our portfolio continues to identify near mine growth opportunities, particularly at Ben Hur, where we've defined an underground exploration target of 300,000 to 550,000 ounces of gold, and this area could become our fourth underground mine at Duketon. At Garden Well and Rosemont, infield drilling continues to grow our confidence and define extensions, as we expected. At Toohey's well, mineralization remains open down plunge, and we're following that up with targeted drilling. And we'll give you some more details on the very encouraging results we're seeing across this area at the exploration update and the R&R Resource and Reserves release later in May. So all of this underpins our strategic goal of building a resilient, long-life underground portfolio across both Duketon and Tropicana. There is genuine excitement building across the team as we see the future of Regis continuing to take shape. The momentum of our growth projects, exploration success and underground strategy is really delivering a new phase of value creation, one that strengthens our operations while opening up new opportunities across the portfolio. So to wrap up, operational delivery remains consistent and on plan. Cash generation was again a highlight. We're now debt-free and have a stronger balance sheet than ever before. We have a revolving credit facility in place and undrawn, giving us financial flexibility to continue executing on our growth strategy, both organic and potentially inorganic. Installing more renewable energy systems that reduce costs. Continue to pursue all options to get McPhillamys back on track that includes both legal and engineering. Our underground growth strategy is progressing well and exploration continues to demonstrate longer-term optionality. The team here at Regis should be very proud of what we've achieved so far and we're well positioned for the quarters ahead. So thanks for your time this morning and I'll now pass it back to Kayleigh and open the floor for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Daniel Morgan with Barrenjoey.
Daniel Morgan: Hi, Jim and team. Obviously, you're doing a very good job on generating cash flow, so that needs to be acknowledged. On just observing, you're tracking your business performance against your guidance, which you haven't changed. It looks like growth capital, you've spent $73 million, and that's at a lower run rate than your full-year guidance. I'm wondering if you could unpick that a bit. Is that as to plan? Was Q4 supposed to be a really heavy capital investment period? Are you underspending or making some savings, or are you deferring capital? What's going on with your capital plans? Thank you.
Jim Beyer: Yeah, well, look, I guess the first key thing there is that we have maintained our guidance, which would, if we felt that realistically the number was going to come in below it, we would have changed it. So for a start, that's the first indicator that, yeah, Q4 is definitely going to be a bit heavier. There's a couple of things. There's some stripping, some pre-stripping that we're undertaking that is back on the agenda, sort of sitting in that growth capital group. And also with the underground mining, with the underground projects at Garden Well and Rosemont Stage 3, there's some pretty chunky equipment, big fans and some, big elements of the infrastructure that we have to start, they'll come through as quite significant bullet payments. So while we maintain our guidance, we are sort of expecting they'll probably be at the lower end based on the expenditure, but it hasn't changed enough for us to warrant changing the guidance. And so that would tell you that we absolutely expect Q4 to be heavier than some of the other quarters.
Daniel Morgan: Thank you. And Jim, maybe a more philosophical question. I mean, the gold price is up very strongly against anyone's expectations. I think it's fair to say. And your business is very much aligned and a beneficiary of that. I'm just wondering how, if any, in any way, do you change managing your business in response to this windfall gold price? Philosophical question.
Jim Beyer: Well, Daniel, a philosophical question would be what's the meaning of life? I think the answer to that is 42. But look, I think the question is, in a high gold price environment, how do you manage your business differently to what you might do in a low price environment? The first thing that you've got to do in a low price environment, you're clearly focused on making sure that every ounce that you're producing is making a dollar. That's -- ideally, that's what you're there. In a high price environment, your focus is still exactly the same. But for a company like ours, where we have spare milling capacity, we've got the opportunity to be able to fill the mills with like what we're doing at Duketon North. It doesn't produce a lot of ounces, but we look carefully at low-grade stockpiles that in a low price environment, you wouldn't go near with a barge pole. Now we can put through and quite comfortably make a few hundred bucks an ounce. Why wouldn't you? So that is part of your tactics that you deal with in a high price environment. And you make sure that you undertake that in a way that if the gold price turns suddenly, which we certainly don't expect, but you can turn it off. You don't make a massive commitment that takes years to deliver. That does become a little bit more interesting in consideration when you look at other CapEx. We like everybody have got pits that are maturing in a high gold price environment when it's 5,000 bucks an ounce, which is great. Plus you could be certainly things that you wouldn't touch in two years ago, you might say, well, let's do another CapEx. But you've got to be careful with that. Because by definition, you've usually got a lot of work to do because it is a CapEx in a deep pit. And you need to be thinking carefully about how you manage the risk of what looks great today might not be quite so good in two years time if something happens to the gold price. So there is a, there's -- you chase every opportunity that can. You still make sure that you're trying to get the answers with the highest margins through your mills, particularly if you're mill constrained. If you're not mill constrained, then you're out looking for whatever ounces you can to make a dollar on without making excessive long-term bets on gold prices. And if you do, then you could arguably think about hedging, but I think everybody knows our view on that at the moment.
Daniel Morgan: No, thank you very much. Appreciate your time.
Operator: Your next question comes from David Coates with Bell Potter Securities.
David Coates: Good morning, Jim, Michael, Anthony and Jeff. Thanks for the call this morning. A couple of questions from me. First of all, I appreciate your comments on guidance, Jim, but if there's any view on the June quarter outlook, March quarter, you guys guided a little bit lower, but you're still tracking very well for guidance. Any comments on June quarter relative to the March quarter?
Anthony Rechichi : Look, I think -- well, Dave, I think if you have a look and see where the midpoint of our guidance is and look to where we're sitting again, we haven't really we're not talking up the top end, we're not talking down the bottom end. We've just sort of leaped in terms of production guidance. I think that's sort of reasonable guidance as to how we'd expect the quarter to play out.
David Coates: Fair enough. Thank you. On M&A, and I know you're usually quite willing to share your list of this, but in the current environment, do you see any value? And the comment you've sort of consistently made in the past is anything, it's got to compete with capital for McPhillamys, as McPhillamys does with inorganic opportunities. And most of the useful comments on McPhillamys just now. But how are you sort of seeing, I guess, that relative value equation in the M&A landscape in the current market?
Jim Beyer: Yeah, it's a good point. Just before I move on to that, Anthony's just pointed out to me that, from an all-in sustaining cost point of view, we also hold that in the guidance point as well, which suggests that we might see a little bit firmer of the AISC in this last quarter. But again, the guidance numbers that we've got. You can sort of figure out from the maths pretty clearly how it's going to play out. On the M&A front, yeah, sorry Dave, I left the list back in my office, so I won't be able to go through that. But look, McPhillamys is definitely a competitor for capital, as it always should be. We should never be looking at one, if we had an internal project, and I've said this for a couple of years now. We were never a company that was solely focused on building and delivering McPhillamys. It has to compete for attractiveness. It's certainly pretty attractive at the moment. You can work out on current prices what the payback would be. I mean, unfortunately though, what we want and what we've got available to us at McPhillamys is a little bit different. It's still quite some, well, if the judicial review is at the end of this year, you can expect that nothing constructive on that front is likely to happen until next year. So we've still got quite a bit of runway in front of us before we can even turn our mind to making FID on McPhillamys. Now, our plan from a growth point of view is not to sit around and wait till then. So we definitely look for other opportunities in the meantime. And quite frankly, really what we'd like to drive to is to keep growing our business, both at Duketon with Michael and the team there looking to secure steady state underground production from four, maybe five underground mines. Tropicana keeps doing what it's doing. And we find another -- we find inorganic opportunities that increase our cash flow capacity. And ultimately we use that cash flow capacity to build McPhillamys' when we're ready, assuming that, at the time that's the best target for our capital. So we don't -- I don't see McPhillamys at the moment being something that is sitting right in front of us competing for capital versus other opportunities, the inorganic opportunities that we're assessing. That's the short answer to your question.
David Coates: Yeah. And if I've got time for one more, I'm glad to see the new hybrid power generation getting up. Do you have a quantifier at all the power cost reduction, and I guess kind of what some of the key drivers of that are?
Jim Beyer: Yeah, look, it's a little bit complicated. There's a few moving parts in how you work out the financial returns on that. It's safe to say that, I mean what the reality with renewables is once you've built it, it's free, arguably, right? But it's got capital recovery. Yeah, that's right. It's got capital. That's the big fallacy of renewables is that the capital required is quite significant. The reason that it's attractive at Tropicana is because of its long life and it's got many years to be able to basically depreciate or amortize that asset. So the cost of it actually, the longer it runs, the cheaper every kilowatt hour gets. The savings, of course, is off the gas turbines that we use. So that's where the benefit comes in. We're not in a position at the moment to be quantifying that in any detail, but look it's not. We're not talking about the order of 10% savings, but we're also not talking in the order of 0.5%. It's recognizable that when it comes through, but it's now just part of our long-term plans. It's built into our reserve cost assumptions. It's just a great project to have there. And as I said, the fact that it was built and it has this long payback period is testament to the fact that both we and Anglo believe that there's plenty of life left in Tropicana yet.
David Coates: Excellent. Thanks, Jim, very much. Appreciate that.
Jim Beyer: Thanks for the question
Operator: [Operator Instructions] Your next question comes from Levi Spry with UBS.
Levi Spry: Good morning, Jim. How's it going? Thanks for your time. I think I've got a pretty simple one. I'm just trying to think about potential free cash flow generation next year without McPhillamys. Can you just sort of talk us through, you're obviously in the middle of budgeting process now, we talk about your reserve and resource update coming and how you're thinking about options in the portfolio. Is there any reason to think that your growth capital and exploration lines would be materially different from this year?
Jim Beyer: Well, we're not in a position, it's a good short question, Levi, but you're asking for some pretty detailed guidance on next year. Look, I think, and in terms of growth capital, we're not really in a position to give too much granularity on that at the moment at all, because as you rightly pointed out, we're in the budgeting process. I think it's probably safe to describe that if you look at the information that we provide in our corporate presentation, which talks about our expected ranges from Duketon in that 200,000 to 250,000 ounce range, and we see that as being out to FY’28 and beyond once we get the fourth underground mine going is certainly consistent with where we're expecting the business to go, so we're not seeing anything unusual out of that. And the same with the Tropicana number as well. Both of those are sitting within the ranges that we've guided for the medium term for our business. I think in terms of growth capital, there's nothing immediate in my head that demands anything different to what. There's a bit of a kick-up that's going on at Duketon, because we're undertaking the works at both Garden Well and Rosemont Stage 3. So that'll continue into next year. I think it kicks off, we're expecting commercial production later next year, so that will just see the development costs sort of transfer across into AISC. And the one-off big hits that we were talking about earlier to, I think it was Daniel's question about the growth capital spend, they will have been done. So I'm not expecting anything material there, but we're still working on that, so I can't really make comment on it until we've finalized our numbers. But production-wise, certainly both Tropicana and Duketon would be expected to be within the range we're talking about. And the one thing that we'd probably expect to see at Tropicana on growth capital is Havana. The Havana underground will start to ramp up in activity a little bit, but we've still, we've got to work out and understand what the schedule is for that. I'd probably be more likely to see a lift in the calendar ‘26 rather than calendar ‘25.
Levi Spry: Got it. Thank you. Looking forward to coming out and seeing them. Thanks. Thanks, Jim.
Jim Beyer: Yeah, good. Good seeing them.
Operator: There are no further questions at this time. I'll now hand back to Mr. Bayer for closing remarks.
Jim Beyer: All right. Thanks. Thanks, Kayleigh. Thanks, everybody, for joining. We do realize it's been an extremely busy morning last couple of days. Won't hold you any longer. As always, if you've got any follow-ups, please get in contact with us and if we can, we'll help you out. In the meantime, have a great day and hopefully we'll talk to everybody soon. Take care.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.